Preben Ørbeck: Good morning and welcome to Aker Solutions Presentation of our Third Quarter Results. My name is Preben Ørbeck and I am the Head of Investor Relations. With me today is our CEO, Kjetel Digre; and our CFO, Idar Eikrem. They will take you through the main developments of the quarter. After the presentation, we have time for questions. Those of you who are following the audiocast can submit your questions via the online platform. And with that, I leave the floor to Kjetel Digre.
Kjetel Digre: Thank you, Preben and welcome, everyone. Let me take you through the highlights of the quarter. Firstly, the overall message is that we continue our positive development with increased top and bottom lines in the quarter compared to the same period last year. Please note that our Subsea segment is included in the figures on this slide. Our second quarter revenue was NOK14.3 billion, an increase of more than 40% compared to the same period last year. Our EBITDA, excluding special items, was NOK1.5 billion, with a margin of 10.6%. This was driven primarily by another strong quarter in our Subsea segment. And this is actually the highest reported EBITDA figure in Aker Solutions history. We delivered NOK6.8 billion of order intake or 0.5x book-to-bill and our backlog ended at about NOK90 billion. More than 75% of the backlog relates to segments outside Subsea. Our financial position remains highly robust with a net cash position of NOK7.4 billion and this does not include a financial investment of about NOK1 billion made in the quarter nor the proceeds from the Subsea transaction. Secondly, we are progressing well on our transformation as a company. Just after the quarter ended, we closed the announced transaction with SLB and Subsea 7 to create the OneSubsea joint venture. For Aker Solutions, this marks a defining moment in our strategy in which alliances and partnerships play an important role. We have transitioned from having a stand-alone Subsea business to becoming a proud long-term co-owner of a world-leading Subsea company. Aker Solutions will receive total proceeds of $700 million for the sale of 20% in the joint venture and retain an ownership of 20% in the new entity. We are also progressing well on our recruiting efforts with more than 2,000 new colleagues welcomed so far in 2023. In several recent surveys, Aker Solutions has been rated among the most attractive employers for engineering and computer science students in Norway. And we are very happy to see that our purpose and strategy resonate well with new talents. Thirdly, the outlook for Aker Solutions remains positive. Our high order backlog offers good visibility on activity levels going forward. And this is mainly made up of projects to be executed in the well-proven alliance model with Aker BP with balanced risk reward profile and upside potential through shared incentives. We see a high demand for our services and we have a solid tender pipeline of opportunities across our market segments. This goes for both oil and gas and renewables markets and we continue to be very selective on which projects to take on. Let us now move over to some of our operational highlights this quarter. Overall, we are seeing high activity and good progress across our project portfolio. For the Aker BP portfolio, we are progressing well with operations across our business segments. For the large platform projects, fabrication has started at [indiscernible] and at several of our partner yards in Norway and abroad. Our Life Cycle segment is currently executing more than 50 projects with Aker BP including the work to enable tie-ins of new Subsea fields to existing platforms. For our Subsea deliveries to Aker BP, activity has been high, reaching the milestone of 20% completion on some of the large projects in the third quarter. In the Rosebank project which was approved by U.K. regulators in September, the FPSO has safely arrived at our partner yard in Dubai to initiate the construction phase. And this is an EPC contract we are executing in a joint venture with Drydocks World for Altera with Equinor as the end client. In the Lifecycle segment, we have a large and well-diversified portfolio of long-term frame agreements and modification projects. Decarbonization is high on the agenda and Aker Solutions is currently executing the Troll West [indiscernible] and Draugen electrification projects in Norway. And once completed, this will reduce carbon emissions of about 700,000 tonnes per year from these platforms, representing more than 5% of CO2 emissions from a Norwegian continental shelf. In Canada, we are mobilizing for marine operations, hookup and commissioning for the West White Rose project for Cenovus [ph] Energy. The marine contract was awarded back in 2017 but suspended between 2020 and 2022 during COVID. Aker Solutions' scope includes planning, project management, engineering, procurement and execution, both onshore and at the offshore side, 430 nautical miles from shore on the East Coast of Canada. Within offshore wind, we are currently executing 2 HVDC projects for Orsted and Scottish Power renewables. The Sunrise HVDC topside has safely arrived at our store yard for outfitting, while the jacket is being constructed at our Verdal yard. Lastly, Jansz, the Subsea gas compression project for Chevron in Australia is also progressing well, with activities in several locations, including fabrication at our [indiscernible] yard and topside floater engineering in Kuala Lumpur. These are examples of how Aker Solutions will continue to work closely with the OneSubsea joint venture in the future. Let's now have a look at our main orders during the quarter. In the Renewables and Field Development segment, we booked an order intake of NOK1.1 billion in the third quarter. This is mainly related to growth in existing projects but we are also seeing increased demand for early phase studies, positioning Aker Solutions for future opportunities. In the Life Cycle segment, we recorded about NOK3.5 billion in order intake. The largest order in the period was the extension of the frame agreement with Shell for brownfield maintenance and modification support at the Nyhamna facility in Norway. This is a clear indication of our team's strong performance on the project in which Aker Solutions has worked side-by-side with Shell since 2007. Our Subsea segment reported an order intake of NOK2.2 billion in the quarter. The main award was Azule Energies and Ndungu development in Angola, where Aker Solutions will deliver more than 25 kilometers of umbilicals. In addition, the quarter has seen call-offs and growth in existing contracts and frame agreements. Let us now have a look at our tender pipeline which remains strong at above NOK100 billion. About 2/3 of the tender volume relates to segments outside Subsea. And as you can see, the majority of our tender activity is in Europe. In both Norway and the U.K., we are actively engaged in tenders and early phase studies for oil and gas developments and prospective renewables projects. Within oil and gas, we are seeing particularly strong interest from both regulators and customers for electrification of offshore assets, either through power from shore or wind for oil. And Aker Solutions has a strong track record and broad set of offerings to support this decarbonization of oil and gas operations. Within renewables, Aker Solutions is engaged in studies and tenders across a range of energy vertical. Despite challenges related to the broken model in offshore wind, we are in close and constructive dialogue with key developers on upcoming opportunities for instance, for HVDC substations. In the U.K., Aker Solutions is engaged in feed and concept studies for some of the major carbon capture and storage facilities expected to reach FID over the next 12 to 24 months. And lastly, we are also seeing increased activity in integrated energy systems such as waste-to-energy with carbon capture and power to X such as offshore wind to hydrogen and then green ammonia. By actively working with a set of prioritized customers across these market verticals, we are positioning Aker Solutions for long-term growth. Outside Europe, we see interesting opportunities for Aker Solutions going forward. In North America, we are actively engaged in both brownfield and greenfield developments in Canada and positioning for future offshore wind prospects in the U.S. Our engineering powerhouse in India which has a long track record for both onshore and offshore developments, has recently started work on a FEED study for a green ammonia project in the region. The green ammonia will be produced from green hydrogen and the production facility use renewable power from the grid. Once operational, the project will help decarbonize sectors, such as the fertilizer industry power generation, refining and steel production in the region and abroad. And lastly, through strong operational performance with clients such as BP and Shell, we are positioning for extensions of long-term frame agreements in Angola and Brunei in our life cycle segment. Now before we go to the general outlook for Aker Solutions, I would like to say a few words about our Subsea joint venture. The transaction was announced in August last year and was formally closed in the beginning of October this year. A lot of efforts from the parties have led up to the successful close ensuring that the new entity gets a flying start in the market. The JV is the combination of 2 leaders in Subsea with the largest installed base of subsidiaries in the industry. The 2 entities are very complementary when it comes to geographical footprint, customer coverage and technology portfolio, sharing the same values of integrity, customer centricity and innovation. SLB and Aker Solutions owns 70% and 20% respectively and Subsea 7 owns 10%. And with Subsea 7 as a serve partner, the new entity can deliver fully integrated solutions to the market. We see great opportunities to continue our strong collaboration with the OneSubsea joint venture, SLB and Subsea 7 going forward. And this takes me to the general outlook for Aker Solutions. I'm pleased to see that we continue to deliver on our financial targets, positioning Aker Solutions for long-term growth and continued shareholder value creation. Firstly, we have a solid financial position which will be further strengthened by the proceeds from the Subsea transaction. Going forward, the Subsea joint venture will also be an important contributor to our business through the 20% ownership. Secondly, with our high order backlog dominated by projects under the well-proven alliance model with Aker BP, we have good visibility for our activity levels in the years to come. Thirdly, our services are in high demand with a solid tender pipeline and high activity within early phase studies across energy verticals, enabling us to be very selective about which projects we take on in the future. And with that, I hand the word over to Idar, who will take you through the numbers in more detail. Thank you.
Idar Eikrem: Thank you, Kjetel. I will now take you through the key financial highlights of the third quarter. our segment performance and run through our financial guidance. As always, all numbers mentioned are in Norwegian kroner. So let me start with the income statement. Third quarter revenue was NOK14.3 billion, up from NOK10 billion a year ago. This represents about 42% growth year-on-year. The underlying EBITDA in the quarter was NOK1.5 billion, up from NOK749 million a year ago with a margin of 10.6%. This was driven by continued good progress on our project portfolio, particularly within Subsea. Margins in renewable and field development continues to be affected by large oil and gas projects yet to reach profit recognition and drag on margin from legacy renewable projects. The underlying EBIT for the quarter was NOK1.2 billion, up from NOK476 million a year ago. And the net income, excluding special items, increased to NOK953 million from NOK265 million a year ago, representing a growth of about 260%. Earnings per share was NOK2.04, up from NOK0.58 a year ago. Let us now look at our financial position. We have a solid net cash position of NOK7.4 billion. This does not include a NOK1 billion financial investment in liquidity funds in the quarter nor the proceed from the Subsea transaction. Our total liquidity buffer continued to be around NOK11 billion, we're about NOK8 billion in cash. For the third quarter, we delivered strong cash flow from operations of NOK1.9 billion. This was mainly driven by solid operating margins as well as the favorable working capital development. Our working capital improved to minus NOK6.3 billion at the end of the quarter, driven by high activity levels and prepayments on ongoing projects. We expect working capital to normalize over time as we execute on the large order backlog but remain between negative NOK6 billion and negative NOK4 billion in 2023 and 2024. At the end of the quarter, working capital in the Subsea segment was close to zero. So let me now look at the cash flow development in the quarter. Operational cash flow in the period was NOK1.9 billion, of which NOK1.5 billion was EBITDA, an improvement in working capital accounted for about NOK600 million. During the quarter, CapEx was NOK911 million which is an uptick from previous quarters but in line with our guiding. In order to increase interest income on our funds, we have, during the quarter, made a financial investment in our liquidity fund of about NOK1 billion. And in accordance with IFRS, this is not treated as cash and cash equivalents in our balance sheet. Financing include interest costs and lease installment of NOK259 million, while interest and sublease income accounted for NOK144 million in the quarter. Lastly, we also had a negative exchange rate effect of about NOK128 million in the period. Now over to order intake and backlog. In the third quarter, we booked an order intake of NOK6.8 billion. Our backlog remains solid, about NOK90 billion, of which almost NOK70 billion are in segments outside Subsea which gives us a good visibility for activity levels for several years to come. This is a very good position to be in. And as Kjetel mentioned, our focus is to continue to deliver predictable and solid execution to harvest upside potential and incentives. Let us now look at the segment performance during the quarter. For Renewables and Field Development, the third quarter revenue increased to NOK5.6 billion, up from NOK3.6 billion the same period last year. The underlying EBITDA in the quarter was NOK239 million, up from NOK124 million a year ago and with a margin of 4.3%. The margins continue to be affected by project in early phases of execution without margin recognition as well as negative impact related to legacy renewable projects in the portfolio. We expect margins to gradually pick up over the next quarters as recently awarded project will start reaching profit recognition phase in late 2023 and mainly into early 2024. The secured backlog remains high at more than NOK46 billion. Based on secured revenues and backlog, we continue to expect the revenue in this segment to increase by about 45% in 2023 from 2022 levels. For the Life Cycle segment, the third quarter revenue was NOK3.2 billion. This was up from NOK1.9 billion a year ago, driven by continued good progress on ongoing work. The underlying EBITDA in the quarter was NOK163 million, up from NOK146 million last year and with a margin of 5%. The backlog remains very solid at NOK21.6 million. We expect the Life Cycle segment to continue at close to 2022 levels in 2023. This is the last quarter we report Subsea as a stand-alone business in Aker Solution and water performance. In third quarter, the revenue was NOK5.6 billion, up from NOK3.5 billion last year, a growth of more than 60% year-on-year. The underlying EBITDA in the quarter was record high at NOK1.2 billion with a margin of 21.8%. This is yet another strong quarter with solid underlying performance in our Subsea business. The quarter was also affected by profit recognition for project reaching progress milestones. The backlog in Subsea is about NOK21 billion. Going forward, Aker Solution will report our 20% ownership in the Subsea joint venture as an equity accounted industry. This means that we will recognize 20% of the joint venture's net income on a separate line in our profit and loss statement. Future dividends from the joint venture will be recognized in Aker Solutions cash flow statement under cash flow from investing activities. In accordance with IFRS regulation, we will report Subsea as a discontinued operation for the remainder of the year. On the table to the left, subsea revenues and contribution is extracted from group figures and added back as net income from discontinued operations. For the group, this reduced the revenues in the quarter from NOK14.3 billion to NOK9.1 billion. EBITDA margins in the quarter was NOK214 million or 2.4%. Margins are expected to significantly improve from early 2024 to a level of 6% to 7% as we start recognizing profit on large oil and gas projects. Earnings per share from our total operation was NOK2.18. Now to sum up. In the third quarter, we continued to deliver strong financial and operational performance. This is mainly driven by strong performance in oil and gas projects, particularly within Subsea. Our financial position is solid and will be further strengthened with the proceeds from the Subsea transaction. We will return with guiding on our capital allocation and dividend policy at year-end. Based on our secured backlog and market activity, 2023 revenues is expected to be around NOK34 billion in segments, excluding Subsea. At this very early stage, we expect revenues in these segments to grow by another 10% in 2024. Margins in these segments are expected to remain at current levels in 2023 but increased significantly to between 6% and 7% in 2024 as we reach profit recognition milestone on the large oil and gas projects. In addition, the Subsea joint venture will contribute to our financial performance through our 20% ownership. Total CapEx for the year is estimated at around NOK2 billion, excluding Subsea and M&A activities which will mainly be covered by ongoing projects. Over time, CapEx is expected to be around 1.5% of revenue. Working capital is expected to normalize over time but remain in a range between negative NOK4 billion to negative NOK6 billion in 2023 and 2024. The outlook for the company and for our industry is very positive and Aker Solution is in an excellent position to take advantage of these opportunities ahead. Thank you for listening. That was the end of our presentation. We will now open up for questions.
A - Preben Ørbeck: Thank you, Idar and Kjetel. The first question comes from Jorgen Lande in Danske Bank. Good morning, on the 2024 EBITDA margin guiding excluding Subsea. Can you provide some color to which of the segments you expect to see the strongest profitability improvement?
Idar Eikrem: Yes. For 2024, we have for the Renewable and Field Development segment is the segment that has the largest backlog, NOK46 billion and the large portfolio within Aker BP, we expect profit recognition phase to be sort of in early '24 and be a solid contribution to our margin increase for the group as in total and Life Cycle is a segment that is generating around 5% to 6% margin quarter-by-quarter.
Preben Ørbeck: Moving on to a question from Kate Somerville [ph] in JPMorgan. Do you expect similar Subsea margins in Q4? And can you explain why there was such a meaningful uplift in Q3. Does this give an indication of the subsea JV margin going forward?
Idar Eikrem: Yes. The margins for our Subsea business in the third quarter was positively impacted by margin recognition on some of the large oil and gas project awarded last year from Aker BP and a couple of others. And we expect -- and to be clear, this was the last quarter where we fully consolidate our Subsea business. From fourth quarter onwards, this will be accounted for as an equity accounting -- equity investee and on a 1 line consolidation. The margin for the joint venture, the joint venture will come back to at a later point in time but we expect solid margins for the new joint venture going forward. And we have demonstrated over the last couple of years that we have established ourselves with a margin of 15% plus.
Preben Ørbeck: A follow-up question on the same topic from Mike Pickup in Barclays. How much of the Subsea margin is tidying up of historical contracts ahead of the merger versus underlying margin progression.
Idar Eikrem: Can you repeat the question, Preben?
Preben Ørbeck: How much of the -- is tidying up historical contracts rather than underlying margin progression in Subsea.
Idar Eikrem: In the Subsea, of course, the margins, as I said, we have demonstrated over quite some quarters that we have established a rock solid sort of margin level for our portfolio. And in the third quarter, this is also positive impacted by the catch-up on the profit recognition on some of the large newly awarded projects.
Preben Ørbeck: Moving on to a question from Victoria McCulloch in RBC. What are your current plans for the proceeds from the JV. When can we anticipate capital allocation updates?
Idar Eikrem: Yes. I stated in my presentation, we will give you an update on that during our fourth quarter release.
Preben Ørbeck: Follow-up -- another question from Victoria McCullagh. Could you give some color on the tender pipeline? How much is renewables? And does all the work on this pipeline meet your profitability thresholds?
Kjetel Digre: Perhaps I can start. And also, as I mentioned in my numbers and presentation, 2/3 of our tender volume is then outside Subsea. And I would say a large portion of that is also then within oil and gas. It's Europe oriented. And then as we've also said, we are careful as to which kind of projects we take on but also which clients that we are getting engaged with. And in general, we are strengthening long-term relationships with key clients also in this current tender pipeline.
Idar Eikrem: Yes. Just to add to that, whatever project we are looking at, we are aiming for healthy margins on the project and we are not there to win a new contract, we are there to win a new contract with healthy margins going forward.
Preben Ørbeck: Moving on to 2 questions from Kate Somerville [ph] in JPMorgan. Order intake was weaker than expected. Can you outline the main reasons and also to follow up a bit on capacity, net employees are up around 1,000, will this be sufficient to service your backlog.
Kjetel Digre: Yes. I think again, as we said, we are careful on how we are moving forward with whom is on the client side and with what kinase scope. I think that way of being very selective in a market where everything is moving in a positive direction, creating opportunities in all energy verticals has proven to be the right one and we are moving forward in that careful way. So being highly selective. And then also the capacity question is a very good one. we see that, as we said, that we are attractive and we are getting all the right ones. And then the number is both linked to how many do we need to be to execute on the backlog and we have a very healthy sort of margin to the, what should I say, max capacity that we could execute on. And then we also want to be careful in onboarding too many because it is also, of course, an operational issue to get all of these new colleagues and talents fully operational in a big complex company as Aker Solutions.
Preben Ørbeck: And maybe a follow-up also on from Mike Pickup on what Idar just touch up on the consistency in margins available in renewables. What changes do you think should be made? And how much of your potential market do you currently exclude because of suboptimal conditions?
Idar Eikrem: Yes. I think when we have talked about sort of the broken model in the renewables and the need to change there. We have stated that we are not in a position that we need to win order. We are there in order to help the clients develop those assets going forward, securing a healthy margin in our case and with our order backlog that with NOK90 billion, we can be selective and we will continue to be selective going forward.
Preben Ørbeck: Then moving to a question from Erik Aspen Fossa in Carnegie. Your 2024 guidance entails a significant improvement in margins. How much of this is a catch-up effect and how much is an underlying improvement and can be extrapolated into 2025 and 2026.
Idar Eikrem: Yes. As we have stated and this is our internal rules that we are not sort of taking out any profit from a new large project before we at least have around 20% progress on those projects. And that we expected to reach in early 2024 for some of the large oil and gas projects. That is explanation to the increased margin going forward. And longer term, we expect margins in that type of range going forward. Historically, we have demonstrated that we are able to deliver margin in our 6% to 7% range.
Preben Ørbeck: Moving to 2 questions from Martine Kverne in Nordea. How long will we see the drag on margins in the renewable field development segment related to renewables. In 2024, we see a significant improvement within this segment from Q1 '24? And also, we can add how do you expect order intake to develop in the short to medium term? Could you provide some more color on backlog related to the JV transaction type of projects, large increase in Norway, what kind of projects typically.
Kjetel Digre: Perhaps I could start with the last one and we also covered it in the presentation earlier on but for instance, our Life Cycle segment, we are focusing on our key clients and long-term engagements we've had and what we see now around existing installations, we both have decarbonization projects but also then exploration and development in or nearby areas triggering Subsea scope but also platform modification work. So extending the frame agreements but also getting a lot of modification projects on existing installations is one clear trend. The other one is, as we said earlier on as well, the increase in our consultancy segment or offering which is really an attractive one. And then thirdly, we have a partnering approach. So when we are looking at the bigger oil and gas projects that we are currently engaged in, we might end up working it in a traditional model with our own yards and assets but also for opportunities where we partner with international yards to develop oil and gas projects in other regions.
Idar Eikrem: Yes. And to the first question, remind everybody about the backlog in Renewables and Field Development is NOK46 billion. More than NOK40 billion is in oil and gas-related project out of that. So less than NOK6 billion is then renewable portfolio that is a drag on our margin and those projects will be delivered in 2024 and 2025.
Preben Ørbeck: Maybe I have a follow-up here from [indiscernible]. Offshore wind seems to be very negative, what are your plans in this segment.
Kjetel Digre: Yes, a bit of repeat here, obviously but it starts with us actually singling out the right clients that suits our company and agree on how to develop this together. And currently, we are discussing our offshore wind engagements really with the right ones. Secondly, we are very focused on not pushing the limits on technology, the whole offshore wind segment needs to obviously stabilize and also look at standardizing and industrializing deliveries. And we have a key role there and we don't want to push the capacities and limits. And then thirdly, make sure that we mature these projects together to a level where we understand the risk and then the contractual commercial terms actually split the risk in a sensible way so that we actually handle and take ownership to the risk that we can compensate. I think that's the sort of the main trend. We also have, obviously, general roles to take through 1 engineer kind of positions to developers but also having clear offerings around products like HVDC substations, some Subsea solutions and also foundations at large.
Preben Ørbeck: Maybe then you talked a bit about kind of the contractual arrangements and alliance models. Then a question from Lucas Daul, if you can provide some more color on the potential impact of bonus incentive schemes from various frame agreements and I guess also in general contracts.
Idar Eikrem: Yes. I think we try as much as we can to negotiate the incentive mechanism on our project due to our trust in our own performance. And this is part of, for instance, the large Aker BP portfolio linked up to most likely cost and incentive mechanism around that one as well as deliver with quality and on time. So that is typical sort of incentive mechanism that it could lift the margin over and above the sort of as-sold margins.
Preben Ørbeck: Moving on to a question from Martin Huseby Karlsen in DNB. Could you clarify what you mean with normalized working capital long term? And you have already -- you've earlier said that your clients will reimburse relative high CapEx. How are these reimbursements treated from an accounting perspective.
Idar Eikrem: Yes, normalized working capital long term, we are operating large oil and gas and to some extent, renewable project and when we negotiate payment terms, we try negotiate payment terms that are cash positive for us or better and that we have successfully done. And based on the current level of minus NOK6.3 billion in net working capital. We expect that to be normalized over time. But for the short-term 2023, 2024, we expect it will be in the range of minus NOK4 billion to minus NOK6 billion.
Preben Ørbeck: Then a question on the Subsea net income. Will it also -- a question for Mike Pickup, clarify how it will be accounted going forward? Will it also contribute the EBITDA line.
Idar Eikrem: Yes, it will. It will be a one-line consolidation that will also have a positive impact on the EBITDA and will come on top of the guiding on the remaining part of our portfolio of 6% to 7% for 2024.
Preben Ørbeck: As a follow-up question from Martine Kverne in Nordea on the same subject. In terms of the amount of contribution from JV, how do you see the overall margins for the group, including Subsea developed in 2024?
Idar Eikrem: Yes. I think it's -- we will -- we have just closed the joint venture. The joint venture is now establishing their business plan and will communicate a bit clearer on that when we get into the fourth quarter release. But the net income from the Subsea JV will come on top of the figures of 67% of the remaining portfolio.
Preben Ørbeck: A question from Kate Somerville [ph] in JPMorgan. Given the strong performance in Subsea, can explain the net benefit of the JV and selling down your stake versus keeping the growing segment in your numbers?
Kjetel Digre: Well, I think Idar has alluded to numbers and I guess you could add some more flavor to it also here. But if I just start by saying that adding our Subsea business to SLBs, OneSubsea really makes a strong world leading player. So 1 plus 1 becomes more than 2 in my mind, also then talking to our future ownership stake of 20%. We are engaged in the Subsea projects and operations of the new JV through service agreements. In my mind, that's an excellent starting point for also talking about longer-term partnerships in oil and gas but then also on our journey towards taking renewables positions. So all in all, a strong and stronger company and also a very good partner going forward in oil and gas but also in towards the new energy verticals.
Preben Ørbeck: Then we have a question from [indiscernible]. What are the good signs of the Aker Digital Alliance contribution to Aker Solutions in the forthcoming quarters?
Kjetel Digre: Yes. Try to be equipped with some headlines. We have worked digitally in all the Aker companies for years and years now and have really come from leading roles there. What we see now through the collaboration around what we call ADA is that we are developing that even further as we go along in projects and embedding them into new ways of working these large projects. Just now, we are monitoring both that the ones that needs to use new digital tools are actually doing it at large and more than expected and we are also then tracking a clear value outtake from now the engineering phase of these big oil and gas projects and then eventually also through the construction phase.
Preben Ørbeck: That was the last question. We would like to thank you all for listening in and wish you a good day. Thank you.